Ulf Ritsvall: Good morning, good afternoon, and good evening, wherever you are. Welcome to the quarterly 3 presentation from NEXT Biometrics. Please remember there is a Q&A in the chat where you can ask questions during the presentation and I will try to respond to them at the end of the presentation. You can go to the next slide, please. So with us today, I have Eirik Underthun, CFO of NEXT Biometrics and myself. I also have with me Roy Tselentis, he's a Board member in NEXT Biometrics for answering a few questions. You can take the next slide, please. So I would like to start with a background of where we are, where in the ecosystem we are and on the markets we're at. I want to continue with the highlights of the quarterly 3 and continue with that on quarterly 3 financials that Eirik will present. I will, as usual, continue with business market and product updates, and I will round off with -- go through an outlook what we see in the near-term future for the company. And as I said, we will end with a Q&A session. You can please go to the next slide. So I think we have ended up in a sort of perfect storm. As you know, the Aadhaar national ID program in India temporarily paused its enrollment of new devices as a security precaution. That was done late '24, and that actually ended towards spring '25 because of an incident -- security incident at a competitor's Aadhaar integration. This we have communicated previously in a few different steps. This happened at a time where our distributor had ordered full stock of production, India Aadhaar program was supposed to pick up the goods and anticipating sales. The end client had in its turn, also stuffed their channels with finished goods ready to deploy to the L1 market. The Aadhaar program is recognized for a quality stamp within biometrics. Markets like Africa, Southeast Asia and South America is also looking at India and saw this security incident that UIDAI saw. This, of course, impacted those markets very negatively as people were afraid, is biometric the way forward in these programs? Is it secure enough? UIDAI has since then implemented new liveness detection and anti-spoofing guidelines and testing procedures. The bar to enter the national ID program in India has risen. It's now tougher, even tougher. It was tough before. It's even tougher to actually qualify into the Aadhaar system. Before the stop, there were more than 10 different OEMs that were qualified into the L1. Today, we have 5 -- 7, sorry, 7 OEMs, and we are a part of 2 out of the 7. NEXT Biometrics sensors are part of 2 out of 7. And that was ACPL received its approval in March and Evolute Group in -- now in September. The whole incident in India impacted our sales 2025 dramatically as the Aadhaar programs for NEXT OEM finally opened in 2025. The OEMs first had to empty their stock in the channels with the finished goods as well as the distributor on the side. During Q3, we have seen a real pickup and the channels are normalizing. But this has, of course, not been reflected in our new sales as the product has been taken from the distributor channels. As a direct consequence, even when it was clearly stated in NEXT commercial agreements, NEXT has not received payments from certain of our distributors until the end customer actually paid them. So this part is very important. This has significantly contributed to the fact that we need to restate the revenues in 2024. However, as we are facing some near-term headwinds, the certified high-quality product and the increased market momentum we now see in India and in Africa and other places, combined with an expanded and well-received product makes us confident that this is gradually increasing our revenue during the coming quarters. The increasing market momentum gives a solid ground for optimism. And our main focus, of course, will be to convert the now inventory value at NOK 34 million, which actually corresponds to more than NOK 70 million in actual revenue. We are focusing on converting those into cash in the sales part. You can take the next slide, please. So from the perfect storm, in this significant cause of the restatement of the historic revenues to be ensure full compliance and accuracy according to the Norwegian rules, accounting rules. As you may remember, we had a potential fraud in the -- together with a Chinese partner. That's, of course, one part. We removed that in Q2. And this time, actually, the restatement is about the Aadhaar and channel were stuffed. This is now largely behind us. And of course, the highlight for Q3 going -- also going forward, we are now taking the accounts receivable to the inventory and moving forward to convert the goods into cash. Our Q3 revenue came in low. It was NOK 3 million, lower than expectations compared to the restated Q3, it was NOK 3.7 million. However, if we also include the shipped goods from the channel, it was NOK 5.1 million. Adjusted gross profit, 51% and improved from Q3. We added another 5 design wins. We are continuing as you well remember, we actually have a target to add one new design win every month. We added 5 this quarter. During the quarter, we also successfully made a private placement solving the liquidity needs. It was announced September 16. It was NOK 20 million at a NOK 4.25 price per share. We are also looking at, of course, working capital and cost-cutting evaluation in the coming quarter, as you can read in our financials. I now move over to Eirik and introduce the Q3 financials. You can swap the slides, please.
Eirik Underthun: Next slide, please. Thank you, Ulf. I will now run you through the Q3 financial highlights. And as earlier alluded to, the revenues were NOK 3 million versus the restated NOK 3.7 million in quarter 3 2024. And the revenues were impacted by low sales to the India market as well as slowness in the China market. Adjusted gross margin was 51% compared to the restated negative gross margin in Q3 2024. On operating expenses, we ended up with adjusted operating expense of NOK 18.7 million compared to the NOK 17.3 million in quarter 3 2024. The adjusted EBITDA was negative NOK 17.8 million compared to negative NOK 20.3 million in quarter 3 2024, which was restated. On the cash and cash flow, NEXT ended up with a cash of NOK 7.4 million compared to NOK 22.1 million at end of quarter 2 2025. And we had a negative operational cash flow of NOK 13.5 million due to lower-than-expected revenues and also operating losses in this quarter. And we also completed the NOK 20 million share issue, the private placement at NOK 4.25 per share. This was completed in October. So it's not a part of the financial statements that have been issued, but they will be included in the quarter 4 2025 financial statements. With this, I will turn the call over to Roy, who will explain a little bit more about the restatements.
Roy Tselentis: Thank you, Eirik. As we know in the second quarter report, we reported irregularities in China. And after the presentation, the company and the new Board of Directors initiated an investigation around these irregularities. We also did a comprehensive review of the historical reported revenues and around our internal controls, we saw the need for further adjusting our historical reported sales and that they did not meet the necessary attributes for revenue recognition. As a consequence of this, we had to restate our revenues and net profits for 2024 with NOK 52 million and NOK 30 million, respectively. And it's important to note that this includes the adjustments that we reported when we presented the 2Q figures, to explain how this is technically done the revenues has been reclassified as goods in consignment. This means that it's no longer accounts receivables and now are listed as inventory. And today, we have NOK 18 million in inventory value. And this approach is done based on advice from independent IFRS experts. And we feel confident now that this would be in compliance with IFRS. Another thing that's important to mention is that these adjustments doesn't affect the historical cash flow. The cash position is the same as reported. But these restatements give the users of the financial statements a better understanding of the business and its financial performance. And at the same time, the management doesn't consider that the restated accounts imply a reduced ability for the company to generate cash collections, but a more accurate presentation of the current status of the different sales. The management of the company, of course, acknowledge the negative impact on equity and the significant adverse consequences for the company. The company will continue to implement measures to ensure robust internal control over financial reporting as well as other key internal controls to safeguard the company and protect investors' interest in NEXT. And by this, I will turn it to you, Ulf.
Ulf Ritsvall: Thank you, Roy. Again, there's a Q&A session in the end and you can use the chat function. We may now leave that behind us and look at the business and market and product updates. You can take the next slide, please. So in these different markets we are present in, the government ID and the digital ID market, certification is mandatory. And as I communicated and said, we now have 2 out of 7 approved OEMs in India. These are 2 of the main vendors in India, which will give us hope for the future in India. We have completed the MOSIP compliance, which is Asia and Africa. We have certifications in the U.S. to sell in the U.S., China, Nigeria, Pakistan and Malaysia. What's new since Q2 is that the Bangladesh, the banking part is approved. We can sell our sensors into the bank, and we're waiting for the governmental ID process to be completed. We have now 81 total design wins. And those includes high-volume potentials, high-volume contracts as ACPL, Evolute we announced this last quarter and Commlink in Bangladesh and additional point-of-sales customers. This pipeline will bring us to profitability. And how do we do that? Yes, we do it with the existing products we have at hand. So you have seen we -- during the years, we have developed variants of FAP 20. We have now also FAP 30 as well as we have the Oyster III that is a product that goes into a PC and IAM. We can take the next slide, please. For doing this display technology, we announced 9 months ago that we are targeting to go into a new market segment. That market segment is the most challenging, most demanding, highest reward market there is in technology. It's the mobile phone, smartphone industry. We have since then, of course, worked with our IP protection. We have multiple projects -- patents pending and nearly completion. We have, of course, started talking to industry players. We have NDAs with specifically the supply chain, which is very important. Without this display technology, there will be no smartphones. We have also indications and industry validations with larger OEMs. We sent out a message in April this year. Those discussions have continued and confirming the groundbreaking potential of this product. It's a clear potential to drive a transformative change across the biometric display market. Today, India is the largest biometric market outside cell phones, laptops. If they would be able to have this product, you can get your grains, you can get your SIM card, you can get your bank account by verifying yourself and your unique identity onto the display. This is just one user example that is available. But there's multiple innovations that can be done based on this type of implementation. We remain confident that bringing this innovation to the market. We will share further updates when it comes. We are seeing a massive upside as we have communicated. There's about 300 million smartphone -- high-end smartphone makers or smartphone devices sold every year. And we have the ambition to take a portion out of those 300 million, massive upside, and we have close to 0 R&D work as we are working efficiently with suppliers. You can take the next step, please -- next slide, please. So actually announced 20th of August, just before the Q2 reporting, we got the breakthrough order. We got a first large-scale production order for our FAP 30. It's ready in the production capabilities. We will deliver the first units out of this order during Q4. It's our Granite. It's a FAP 30 product. It serves different markets and use cases. It's spanning our portfolio since FAP 20 is smaller, limited to one certain market. But it's also important to understand that this is not a replacement unit. It's actually a complement in the portfolio. We see now that FAP 30 comes with an impressive result. We have very good biometric performance. And we have a large-sized image, of course, and a phenomenal quality on those. And we have already early samples in customers that are engaged with us, which is fantastic. You can take the next slide, please. Very happy to also announce that Evolute finally came in through the L1 Aadhaar certification, the second OEM in India that -- for using a biometric active thermal sensor. We are expecting high-volume purchase orders during Q4, so very soon. And except the Aadhaar program products, they are actually targeting MOSIP and the MENA markets, Africa and Middle East. It's based out of the standard FAP 20 sensor, and they have 5 different designs basically. They have reader only. They have a point-of-sales terminal and so on. And most important taken out of this is that we are 2 out of 7 certified products in the market. If you take the next slide, please. And also looking at different markets, we are entering also Sri Lanka. So we're adding one more geographical market. It's also a high potential market since they are looking at the Aadhaar system itself. They have already implemented the Aadhaar sort of program. And the biometric and hardware demand is rising in the governmental, banking and telecom sectors. C3 Labs, which is the one that are entering the market together with us. It's a multidisciplinary engineering company, and they make different innovations, including end-to-end solutions. And they also help other manufacturers to do construct the product manufacturer. You can find them online. It's interesting to see. We have secured the first mass production order from this new customer. And it's actually a self-service kiosk for secured transaction banking transactions. In the link, you can see actually a picture, image of the actual device. So delivered scheduled to start in Q4. If you can take the next slide, where it is my last slide going to the outlook. What I see in the near future. We have 3 revenue streams driving growth. We have the recurring quarterly revenues based out of the contractual that we have announced. It means ACPL, Evolute and so on, better predictability and scalable in going forward. We have 81 smaller to medium-sized design wins. They are less regular, but they are expanding. We are expanding our customer base, and we're therefore, seeing additional revenue in this stream. And then, of course, we have the larger tenders, the onetime revenue type of projects that is in the governmental ID sector. Hard to predict when the order is there. What we can do is to secure the hardware design, make sure that it's our sensor that is implemented. We do the implementation, integration and then we can wait for the supplier to get -- to win the tender. And then, of course, we will receive the order. Very hard to predict the timing of this, but the upside is a larger number in revenue. So as I have explained, we are ready. The products are there. The operational momentum is kicking off in early '26. And I think we are increasing -- we see increasing momentum and the 81 design wins creates a solid ground for my optimism. I've been in the biometric industry for 15 years. The first time ever something closed like this in India. But I know that sometimes things takes a long time. A design win can be anything from a design win until it's actually launched, can be -- as we have communicated previously, it could be anything from 9 months to 24 months. Most important is that the hardware is in the design, the tooling is ready, and we are available when the customer will place the order. We have now a valued inventory, valued at NOK 34 million, which actually corresponds to approximately NOK 70 million in revenue when sold to end customers. We see the solid gross margin at around 50% still in our market and continue guiding on the 50%. Due to the slowness of the revenue, we have initiated cost cutting and to preserve cash and liquidity as a measure. I need to come back to the more exact details on this at a later stage. We are now -- this was my last slide. Let's move over to Q&A, if there's any questions online.
Eirik Underthun: Yes. Ulf, I have one question here. So how can you explain ending up in a situation where the 2024 financial statements have been significantly incorrect?
Ulf Ritsvall: Thank you, Eirik. It's a very valid question, and it's a very understandable question. So we've had -- it's hard to me, myself to understand actually. Our key focus until now has been to make sure that we are able to prepare the adjusted financial reporting that presents the most correct financial situation to the company. I believe the reason for getting here consists of several factors. I explained for you the perfect storm. I would say that one of the items is the -- one of the costs relates to the irregularities discovered in China. But it's also -- in addition to this, it seems to be clear that our operational finance function not have been cooperating and shared information in an adequate manner. Of course, measures has been taken into this. And it's clear that our finance function and operational function needs additional competence to measure -- to address this and this has been taken. Thank you. Any more questions?
Eirik Underthun: Yes, I have one more question here now. How have you ensured that the figures presented today reflects the current situation? So I guess that's a question for me. And I believe it's about the balance sheet that we have presented now at 30th September 2025. So what we have done is to go through the transactions and the customers that we have seen are affected by the irregularities, but also have had assistance from external IFRS experts. And we also conducted an external investigation and that the investigator visited and inspected the warehouses where we have distributors. And moreover, we have had a dialogue with our auditor, although it should be noted that the Q3 report has not been audited nor the 2024 restated financial accounts. So due to the effort and the time that we spent to investigate and reclassify the transactions, we believe that the presented figures gives you the best view of the NEXT financial situation as per 30th September 2025. Then there is some other question here. I think this one is for Roy. Roy, could you elaborate on the dispute between NEXT and the Chinese sales and marketing partner?
Roy Tselentis: Yes, of course. Thank you, Eirik. As part of the external investigations, the irregularities has been substantiated, and we can see that they have occurred in our Chinese subsidiary. Our go-to-market partner or marketing and sales partner in China has claimed a total payment of around NOK 15.6 million. NEXT is very clear in our position that we have no obligation to compensate our partner and no provision has been recognized. Also in the litigation process which we had in Shanghai, we argue that this is not the right jurisdiction, over most of the claims raised by the sales and marketing partner and that these claims fall under arbitration in accordance with the Norwegian Arbitration Act with Oslo in Norway, a seat of the arbitration. The time line of this arbitration is uncertain, but we are working on it, and there are progress in that situation. We will, of course, continue to investigate the irregularities and we'll take any further relevant and necessary legal action against the relevant companies and individuals involved in these irregularities.
Eirik Underthun: Yes. Thank you, Roy. I've got one final question here now. I think, Ulf, this is one for you. Can you disclose the status of the full-screen fingerprint technology? For example, the patent situation, technical progress and interest by display manufacturers.
Ulf Ritsvall: Maybe I can elaborate a bit. It's -- some parts are, of course, under NDA, which we need to, of course, see. We are in active dialogues with different display manufacturers. There's a high interest from the display manufacturers. We also have got the information from the market. When I say early feedback from selected industry players, it's actually the selective players in the different smartphone OEMs. So that means the -- maybe the top 10 OEMs in the smartphone industry. I don't mention any names here since it's under, but we -- one of them, we actually have an NDA with. So there we share more frequent updates on the technical progress. IP protection is underway. We have a few patents actually to have our boundaries in the IP, of course. We will not start selling display technology or displays, as we have said, we will be a partner with a display manufacturers. Therefore, we need patent protection and IP protection. That work is continuing. And I will share further updates once the development of the patents when they are actually moving, I will share more updates with you. I hope I answered your question a bit more, even if it's sort of under NDA some of them. Thank you. Do we have any more questions? No more questions. I would like to thank you for participating in the call. My e-mail is always open. If you have any more questions, you can also call me, of course, on my cell phone. Wish you a good day, and thank you.